Operator: Ladies and gentlemen, thank you for standing by. Welcome to the BOS Third Quarter 2021 Results Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded and will be available on the BOS website as of tomorrow. 
 With us on the line today are Mr. Eyal Cohen, CEO; and Mr. Moshe Zeltzer, CFO. 
 Before I turn the call over to Mr. Cohen, I would like to remind everyone that forward-looking statements for the respective company's business, financial condition and results of its operations are subject to risks and uncertainties, which could cause actual results to differ materially from those contemplated. 
 Such forward-looking statements include, but are not limited to, product demand, pricing, market acceptance, changing economic conditions, risks in product and technology development and the effect of the company's accounting policies as well as certain other risk factors, which are detailed from time to time in the company's filings with the various securities authorities. 
 I would now like to turn the call over to Mr. Eyal Cohen, CEO. Mr. Cohen, please go ahead. 
Eyal Cohen: Thank you. Thank you for joining [Audio Gap] call. I want to dedicate this call to the most critical challenge we are facing, the operating loss of the Robotics division. 
 First, I want to share with you some background on the nature of the business of the Robotics division. The division develops and sells custom-made robotic systems. It doesn't sell off-the-shelf robots. 
 Building the customized robotic system involves many phases. It has a long and expensive sales cycle and the low closing rate because it requires significant investments from the customer. 
 The systems pricing is very complex because it is based on an initial concept of the machine rather than on a final detail design. The time of delivery takes an average of a year. Customized robots require the development of a unique feature, and therefore, there are development risks. 
 We did see an 80% reduction in the operating loss of the Robotics division in the first 9 months of the year '21 as compared to the comparable period last year. However, we have not yet been able to successfully reflect the inherent risks of this business in our pricing. 
 Going forward, in order to mitigate the risks and optimize our sales resources, we will focus our sales effort mainly on the Israeli market rather than [indiscernible]. 
 At the end of the first -- at the end of the third quarter, we closed our sales office in the U.S. and turned working through a distributor. We realized that in order to succeed in the U.S. market, we have to increase our U.S. sales, marketing and support presence significantly, but we cannot afford this cost at this stage. 
 In the Israeli market, we will focus on strategic customers that predefine as heavy automation consumers from [ various ] industries, where we learn these customers' need, products, standard, production and logistic processes. We expect our learning curve to improve gradually and the inherent risk of the business to decrease accordingly. 
 Focusing on Israel is expected to also shorten the sales cycle, reduce our associated sales cost and increase the transaction closing rates. 
 Securing about 10 new strategic Israeli customers will dramatically change the operational results of the Robotics business. We believe that we will lead this division to a breakeven point during the year '22. And that in the years after, it should be the growth engine of BOS. That completes my review. 
 And now I will take your questions. 
Operator: [Operator Instructions]  There are no questions at this time. Before I ask Mr. Cohen to go ahead with his closing statement, I would like to remind participants that a replay of this call will be available on the company website, www.boscom.com by tomorrow. Mr. Cohen, would you like to make your concluding statement? 
Eyal Cohen: Yes. Thank you. Thank you for joining our call today, and I'm looking forward to meeting you on our next call. You are welcome to contact me any time by phone, WhatsApp or e-mail. Thank you for your support. 
Operator: This concludes BOS Third Quarter 2021 Results Conference Call. Thank you for your participation. You may go ahead and disconnect.